Operator: Welcome to the MPLX Third Quarter 2022 Earnings Call. My name is Sheila and I will be your operator for today's call. At this time, all participants are in a listen [Audio Gap].
Kristina Kazarian: Good morning, and welcome to the MPLX third quarter 2022 earnings conference call. The slides that accompany this call can be found on our website at mplx.com, under the Investor tab. Joining me on the call today are Mike Hennigan, Chairman and CEO; John Quaid, CFO; and other members of the executive team. We invite you to read the safe harbor statements and non-GAAP disclaimer on slide 2. It's a reminder that we will be making forward-looking statements during the call and during the question-and-answer session that follows. Actual results may differ materially from what we expect today. Factors that could cause actual results to differ are included there as well as in our filings with the SEC. With that, I'll turn the call over to Mike.
Mike Hennigan: Thanks Kristina. Good morning, and thank you for joining our call. First off, Shawn Lyon will be joining our calls as our new Senior Vice President of Logistics and Storage. Shawn has over 33 years of experience in engineering and leadership roles across our midstream and downstream organization. Most recently Shawn was President of Marathon Pipeline. Dave Heppner will also be joining our calls. He has over 34 years of experience with the company. Dave's role as Senior Vice President of Strategy and Business Development has been expanded to include a focus on midstream. Now turning to our business updates. Earlier today, we reported third quarter adjusted EBITDA of $1.5 billion and distributable cash flow of $1.3 billion, both of which represent record results and a 6% increase from the third quarter of last year. These results highlight the performance of our businesses and growth from our recent capital investments. Based on the strength and continued growth of our cash flows, today MPLX announced a 10% increase in the partnership's base distribution in addition to the $315 million of unit repurchases completed through the first nine months of the year. We continue to view this as a return on as well as a return of capital business. And this quarter, we advanced several organic growth projects. In the L&S segment, we continue to expand natural gas long haul and crude gathering pipelines supporting the growing Permian. Working with our partners, we are progressing our natural gas strategy with the expansion of the Whistler pipeline to 2.5 billion cubic feet per day, along with laterals into the Midland Basin and Corpus Christi markets, driven by increasing Permian natural gas production, interest for Whistler's additional capacity has been high, and we continue to expect it to come online in the third quarter of 2023. In the G&P segment, our growth focus remains mainly in the Permian and Marcellus Basin, although all other basins are generating positive cash flow. In the Permian, our 200 million cubic feet per day Tornado 2 processing plant is expected to be fully online by year-end and then ramping through the middle of next year. We're progressing our Preakness II processing plant, which we expect will come online in the first half of 2024, bringing our total Permian processing capacity to 1.2 billion cubic feet per day. In the Marcellus, our Smithburg de-ethanizer began operations this quarter and the facility has been ramping in line with in-basin demand. We are progressing the Harmon Creek II -- Harmon Creek II processing plant, which is expected to come online in the first half of 2024, bringing our total Marcellus processing capacity to 6.5 billion cubic feet per day. These asset additions will continue to support growing cash flows in our portfolio. Switching topics, we've received questions on the structure of MPLX and whether MPC will acquire partnership's outstanding public units. So we want to restate what we've said in the past. First, we've grown MPLX into an entity with a public float of approximately $12 billion, which compared to recent MLP roll-ups is substantially larger. MPLX is a strategic part of MPC's portfolio. MPLX has continued to demonstrate earnings growth, with the increased distribution announced today, MPC expects to receive $2 billion of distributions from MPLX annually. As MPLX pursues its growth opportunities, we expect the value of this strategic relationship will continue to be enhanced. MPC believes that its current capital allocation priorities are optimal for its shareholders and MPC does not plan to roll-up MPLX. As we continue to grow our cash flows, we also remain focused on executing the strategic priorities of strict capital discipline, fostering a low-cost culture and optimizing our asset portfolio. Shifting to Slide 4. Last quarter, we discussed our enhanced ESG commitments and disclosures with the June publication of both our annual sustainability and perspectives on climate-related scenarios reports. We're making progress on our targets and challenging ourselves to lead in sustainable energy by meeting the needs of today, while investing in an energy diverse future that creates shared value for all stakeholders. Now let me turn the call over to John to discuss our operational and financial results for the quarter.
John Quaid : Thanks, Mike. Slide 5 outlines the third quarter operational and financial performance highlights for our Logistics and Storage segment. L&S segment adjusted EBITDA increased $65 million when compared to third quarter 2021. The increased results are primarily due to higher pipeline tariff rates and throughput partially offset by higher costs, including higher project expenses and fuel and power costs. Pipeline volumes were up 5%, driven primarily by increased utilization at MPC's refineries, while terminal volumes were down 1%, primarily due to the second quarter 2022 sale of several light product terminals. As you would have expected, our pipeline tariff rates increased in the third quarter. However, due to changes in the mix of throughputs, you will note our reported average rates were lower year-over-year. Moving to our Gathering and Processing segment on Slide 6. G&P segment adjusted EBITDA increased $17 million compared to third quarter 2021, primarily due to increased volumes, offset by increased operating costs, higher NGL prices also benefited the quarter with average NGL prices $0.05 per gallon higher than the prior year. Gathered volumes were up 12% year-over-year due to increased production in the Utica and Southwest regions. Processing volumes were up 2% year-over-year, primarily from higher volumes in the Southwest, which includes our Permian operations. In the Marcellus, while gathering and processing volumes were slightly lower year-over-year, we did see sequential increases for gathering, processing and fractionation volumes in line with our expectations for increased producer activity in the back half of the year. Moving to our third quarter financial highlights on Slide 7. Total adjusted EBITDA of $1.5 billion and distributable cash flow of $1.3 billion, both of which represent record quarterly results, also both increased 6% from the prior year. We returned $935 million to unitholders through $755 million of distributions and $180 million in repurchases of common units held by the public. As of September 30, we had just over $1 billion remaining available under our unit repurchase authorizations. As Mike discussed, based on our confidence in the business, we increased the base distribution by 10% to $0.775 per common unit, while maintaining strong coverage of 1.6 times. During the quarter, we've refinanced near-term senior notes maturities. We issued $1 billion of 10-year notes and used the net proceeds to redeem notes that were due in December of this year and March of 2023. We ended the quarter with total debt of approximately $20 billion and a debt-to-EBITDA ratio of 3.5 times, comfortably below our target leverage of four times. In closing, given our commitment to strict capital discipline and our continued adoption of a low-cost culture, we expect to continue generating strong cash flow, enhancing our financial flexibility to invest and grow the business, while also supporting the return of capital to MPLX unitholders. Now, let me turn the call back over to Kristina.
Kristina Kazarian: Thanks, John. As we open the call for questions, we ask that you limit yourself to one question plus one follow-up. We may re-prompt for additional questions as time permits. With that, Sheila, would you help us with questions?
Operator: Absolutely. Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question will come from Brian Reynolds with UBS.
Kristina Kazarian: Hi, Sheila. If there is a question being asked, we can't hear. Would you mind re-prompting, Brian?
Operator: Brian, if you please the un-mute feature on your phone. We're not able to hear you in conference, Brian Reynolds with UBS we're able to take your questions at this time.
Kristina Kazarian: Shelia, do you want to move to the next callers in the queue?
Brian Reynolds: Oh, sorry, I was on – sorry I was on mute.
Kristina Kazarian: No, no worries, Brian. Good to hear you.
Brian Reynolds: Sorry about that. Hi. Good morning, everyone. And Mike, it's great to read about your recent positive update.
Mike Hennigan: Thank you, Brian.
Brian Reynolds: First to start-off on capital allocation process, particularly around the permanence, the distribution rates versus special, how should we think about the continuance of buybacks going forward? And how should we think about the ultimate leverage target given that leverage looks to be well below that four times target?
John Quaid: Hey, good morning, Brian, it's John. I'll start with that and then Mike can jump in as well. So first of all, talking about the distribution. Look, as we said in our comments, it's really driven by our confidence in the business and the strength of our cash flows. Quarterly records on adjusted EBITDA and DCF, year-to-date $3.7 billion of distributable cash flow and the business also continues to generate cash, both in excess of our capital and our distribution running at about $730 million year-to-date. So all of that kind of gets us to the point as well, we're maintaining a strong balance sheet with leverage of 3.5 times and looking at a coverage of 1.6 after this distribution. So we -- our overall capital allocation rate hasn't changed, right? We want to ensure the safety of our assets, look at our distribution, grow the business as well and then look to return capital. And we continue to optimize that around the business and where we are. So certainly, confident in the strength of the business, drives our comfort with that 10% increase, but overall, we'll continue to look at other opportunities to return capital, right? We did $180 million of repurchases this quarter, but that will be dynamic, right? I know you asked about the pace of buybacks. I don't know if there's necessarily a pace. It's certainly an avenue for us to return capital, but we want to be opportunistic as we think about that as well, which is partly too, you've seen us maybe carrying some cash on, on the balance sheet from quarter-to-quarter. So I think our framework hasn't changed. We continue to optimize around that. And I think you'll see us doing that going forward, right? We'll probably see us look at that distribution, certainly subject to the Board's approval once a year. We'll continue to think about how we can be dynamic in our return of capital via unit repurchases. And just since you asked about it, the special, we're actually now calling the supplemental, but look, while not a tool we're going to use this year, that is something that remains available to us as we go forward. So lots of levers, and we're trying to work around that to optimize that return of capital.
Mike Hennigan: Hey, Brian, it's Mike. Let me just add a couple of comments. First off, before we get into the -- how are we going to return capital, the key for us is to show the market that we're continuing to grow the partnership. Growing earnings and cash flows put us in a good position to have this debate about what's the best way to return. At MPLX distributions are tax efficient, which is different than an MPC. At MPC, it's a little bit different situation for the C corp, but at MPLX distributions are a preferred way. At the same time, we've said a couple of times that we have an all of the above approach. So since we started the buyback program, we've executed somewhere around a little under $29 a unit. So as John says, we try and be dynamic. We look at the market conditions, but it all starts with generating and growing cash flows inside the partnership and then debating what's the best way to return that capital. And we've said all of the above, is the best way to describe it, because given the market conditions, we may lean one way or the other. I hope that helps you a little bit. Right now, as John said, we're very confident of the cash flow, so the permanent increase makes more sense. Last year, we debated a lot as to whether it was permanent, not permanent, because some of these calls are a little tricky. I used to use the term red bar and blue bar and that's still in my thinking as we describe the cash flows. But as we feel confident about them, we're going to increase distributions. As we see the market conditions allow us to buy back units, we're going to do that as well. So hopefully, that gives you a little more flavor. I know it's been hard for people to understand since it's bounced around a little bit, but it really has to do with where is the market at the time and how we feel about the cash flows. I hope that helps, Brian.
Brian Reynolds: No, that's super helpful, and I appreciate the extra remarks there. Maybe as a follow-up, I appreciate the remarks around the potential low carbon opportunities just for Marathon as a general family. Could you maybe just talk a little bit more in depth about these opportunities? Kind of what has changed between this quarter and prior quarters, how does the IRA change things? And there is a pure refiner participating in the carbon pipeline in the Midwest. Is that something that MPLX could also participate in maybe supporting MPC, et cetera? Thanks.
Mike Hennigan: Brian, it's another really good question. Let me let Dave take a shot at how we think about investing capital, et cetera.
Dave Heppner: Hey Brian, I appreciate the question. This is Dave. So, as you would expect between MPC and MPLX, we look at numerous opportunities and a lot of them being driven in the low-carbon footprint as the industry and the country evolves in the energy evolution. And as you stated with the recent announcement of the IRA, that will have some impact as we evaluate those opportunities. I will say a couple of things are relative to that. Still pretty early, there's a lot of clarification relative to the IRA that needs to come to fruition before we can make forward-looking strategic decisions. Second is, as you touched on, between MPC and MPLX, there's a lot of integration opportunities along the value chain, which make these opportunities more viable for the overall enterprise. But I'll leave you with this that all our growth opportunities whether be in the base business or in this low-carbon energy evolution, it's all about return on capital. And if we can achieve those return on capital versus our other alternatives for those -- for that capital, we wouldn't proceed with those projects. Thank you.
Brian Reynolds: Great. I really appreciate the color. Sorry about the mute, hiccup, and really great to hear you doing better, Mike. Have a great rest of your day.
Mike Hennigan: Thanks again, Brian. Appreciate it.
Operator: Thank you. Our next question will come from John Mackay with Goldman Sachs. Your line is open.
John Mackay: Hey everyone. Good morning. Thanks for the time. Maybe I'll do something on the operating side, let's say, Northeast volumes are really strong. We've seen kind of mixed results from some others out there, particularly, I think Utica was, I don't know, record volumes since 2019 or something -- can you just talk a little bit about what you're seeing in the Northeast, whether these recent gains are sustainable, whether or not you're taking share from others? Just how do we think about that going forward given the overall basin still a little constrained?
Greg Floerke: John, this is Greg, I'll take that question. The Northeast, our utilization remains high, but there is room for growth there. And the gas processing facilities are distributed across the Marcellus and the Utica around certain customers. And so we may be full at one plant and we're actually expanding. Harmon Creek 2 is a good example of that, which we announced last quarter. So, we're actually expanding there. Other plants still have room for production growth. The good news is, is that gas and NGL prices are -- continue to be supportive in the Northeast as well as elsewhere for more growth. And we do think it's sustainable as certain producers potentially remain flat or decline a bit, it makes room on the takeaway residue lines and NGL lines for more growth there. So, in general, we remain bullish. We are seeing more activity in the Utica area. We see a lot of growth on the gathering side there and also anticipate growth on the rich gas and process side. in the future.
John Mackay: Thanks for that. Maybe as a follow-up, turning to Permian. Can you just give us an update on the Whistler extension? I think that's supposed to come online this quarter. Is that going to allow incremental egress out of the basin? And then maybe if you could just give us an update on what your position in Matterhorn is looking like? Thanks.
Shawn Lyon: Hey, John, this is Shawn. I'll take that. We're really excited about our position for gas takeaway out of the Permian. As we've seen differentials expand widen from Waha to Agua Dulce and Waha to Houston. We've seen on the original capacity for Whistler, that at near capacity, it's really matched the expectations that we've had -- and then as we've announced before, we've had an expansion that will come online in September of 2023, and that will again help us for the gas takeaway there. As we had in our prepared remarks, we have some laterals one coming in called the Martin County lateral coming in to Whistler. And one on the end that we're really excited about in the partnership we have with Cheniere that again, will go to liquid faction facility on the coast there. So that's where we stand there. Kind of moving to Matterhorn, we have decided and we announced it earlier to participate in Matterhorn. And again, that will help the gas take away there.
Mike Hennigan: Yes, I was just going to remind you on Matterhorn, right? We've got a 5% interest there. Again, that's driven by the producer volume we're able to bring to the project, right? I just don't want folks to think of some indication of our confidence in the project. It's really just driven by the volume we were able to bring in. So your question, you may have been recalling at one point, we were we were pushing for 15%, but we're coming in at 5% on that project, which is out a bit as well.
John Mackay: All right. Thanks a lot. Appreciate the time today.
Mike Hennigan: Thanks, John
Operator: Thank you. Our next question will come from Justin Jenkins with Raymond James. Your line is open.
Justin Jenkins: Thanks. Good morning, everyone. Mike, I want to echo Brian's comments on your health update. That's great to see.
Mike Hennigan: Thanks, Justin. Appreciate it.
Justin Jenkins: I guess my first question – John, you mentioned project costs were up year-over-year in your remarks. But can I ask if that maybe came in lower than you expected in 3Q and have been part of the upside in the quarter itself and just your outlook on that line item into the fourth quarter here?
John Quaid: Yes. Good morning, Justin, thanks for the question. Yes, while still up year-over-year, the team just continues to do an outstanding job of managing risk and managing projects and looking for efficiencies. So we probably did -- we had been kind of guiding to sequential changes that probably came in a good bit less than we were expecting. And again, just to talk about these projects in total, right? These are really larger maintenance programs we do. They are never going to be ratable quarter-by-quarter-by-quarter. And one of the things we've typically seen is the first quarter is the lowest and then the other quarters kind of ramp up, either driven off of weather or the timing of the program. So yes, I would say, probably sequentially, we did a really good job of managing those expenses, still up year-over-year. But that probably is driving some of the variance versus what we would have expected last quarter.
Justin Jenkins: Okay. That's helpful. And John, I think my second one for you as well. On gross debt, it seems like we've been in the $20 billion to $21 billion range for a while now. Is that just coincidental, or should we think of that level starting to become more of a target here? And I guess, related to is the four times leverage target starting to turn into a ceiling, maybe?
John Quaid: Great question, Justin. So yes. I mean the $20.1 million of kind of gross debt is where we've been, and we've been comfortable with it just because our leverage has been under our kind of four times guidepost. So you've seen us earlier this year twice go out and issue new notes to refinance upcoming maturities. And I would expect you'd see us to continue to do that. Looking out to next year, we've got a July maturity of about $1 billion that we'll look to address at the right time. We also too, maybe just -- and I'll just offer this up as well, we have some Series B preferred units. They're at a fixed rate now. But in February, they moved to a floating rate which, as of this morning would be 8.5%. So that will be something we'll look to address as well. Now that's not in the $20.1 million, because that 20.1% is just our senior notes. But that's something we've got on the radar as well. So I think you'll continue to see us to be comfortable with the leverage, provide us some financial flexibility as we think about running the business, but you'll see us continue to refinance those. I don't think you'll see us paying down debt.
Mike Hennigan: Justin, it's Mike. I just want to add what I said earlier is the business models we need to support our capital program and our distributions with cash flow generated through the partnership. And, obviously, we want to have access. So we haven't increased our debt level in quite some time to your point, it's been bouncing around that same level. The main reason the leverage has come down is because the earnings have gone up. So for a relatively constant debt and earnings going up, that's what's driving our leverage numbers down and we'll continue to look at that. But the key for us is run the partnership in such a way that we generate enough cash flows to self-sustain our capital program, our distribution have excess. So we have a good return program and obviously not increase our debt levels. I hope that helps.
Justin Jenkins: Yeah. Perfect. Thanks all.
Operator: Thank you. Our next question will come from Michael Blum with Wells Fargo. Your line is open.
Michael Blum: Thanks. Good morning, everyone. Just two quick ones for me. One, I'm sure you've seen diesel prices are really spiking in the Northeast. And I'm just curious if that presents any potential investment opportunities for MPLX?
Mike Hennigan: Dave, do you want to take that one?
Dave Heppner: Sure. Hey, Michael. Yeah, there's no question we're keeping an eye on that. And as I stated earlier, we look at everything as far as investment opportunities and with the expensive logistics and commercial footprint of MPC and MPLX, those opportunities pop up quite a bit. But again, a couple of things to keep in mind is -- these have to be long-term market fundamental changes to justify a long-term investment and getting back to the key point I touched on earlier, it's all about a return on capital and making sure that we can achieve the acceptable return on those capital investments for the long-term.
Michael Blum: Great. Thanks for that. And then I wanted to ask, you guys have extensive marketing, NGL marketing operation in the Northeast. And I wonder if you could just speak to the shell cracker coming into service pretty soon here, how that might change dynamics for you in the Northeast? Thanks.
Greg Floerke: Michael, this is Greg. Yeah, glad to answer that question or address that question. We're excited to see the Shells Monaca ethane cracker start to commission and ramp up in late third quarter. As I've mentioned before in previous calls, we expect to supply through our producers, recover and supply 80% to 90% of the flow into that plant. So it's a -- that's driving growth in terms of ethane recovery or Smithburg to -- excuse me, our Smithburg de-ethanizer is fully online now supporting that. So we -- the amount of ethane that we recover or where we recover is driven by the producers. But ultimately, the producers have the arrangements with the end user in this case, Shell. But yes, we do see growth in terms of ethane recovery in the Northeast and as that plant continues to ramp up.
Mike Hennigan : And Michael, it's Mike. I just want to add, we're still bullish the Marcellus. In the very short-term, the gas has been a little constrained, but like Greg just mentioned, so Shell is going to pull some ethane out, as you heard us say earlier, we're going to start up another processing plant. So as different producers execute their strategies up in the Northeast, we still think over the long-term, it's a great resource. It's a low-cost resource and it will be an important part of US natural gas supply for a long-term. Obviously, the constraints on pipelines need to get sorted out. We think that will happen, whether it's MVP or some of the others that are in process. But overall, we're still pretty bullish that the Marcellus is a good place to be. We have a strong position, as you mentioned, and Greg has talked about in the past. So we like our positioning there. We think it's a good area, and we believe it's going to continue to grow.
Michael Blum: Thank you. Appreciate it.
Mike Hennigan : You're welcome.
Operator: Thank you. Our next question will come from Theresa Chen with Barclays. Your line is open.
Theresa Chen : Good morning everyone. Mike, it is great again to hear your voice. I want to first ask on the Whistler expansion coming online in the third quarter of next year. So initially, is this going to be involving any sort of ramp period or would that be immediate? And during any of the initial period, will it be completely belong and set to the contract for the third-party customers, or will you have any sort of marketing capability in that initial start-up?
Shawn Lyon : Hey, Theresa, this is Shawn. We've seen basically the interest in the expansion capacity be very high. And we expect that to be at our expectations or exceed it, again, based on the differentials we've seen between coming out of the Permian there. We think that's going to fill up fairly quickly along with what our expectations were.
Mike Hennigan : Hey, Theresa, it's Mike. I'll say, first of all, thank you for the kind words on my help. As far as the marketing goes, we do not market in that area. The producers are the players in that, and we are the transporters of it. So as Shawn said, we're pretty excited of the area needs to take away the business is continuing to grow. We're trying to be part of that growth profile, as Shawn mentioned. And at the end of the day, we believe it will ramp very quickly.
Theresa Chen : Got it. And in relation to the ethane recovery dynamics as [indiscernible] comes online, I'm just curious as to your view on the utilization of that facility and the pull it will have across your system in light of the challenging pet chem dynamics globally right now and curtailments in utilization in existing plants as a result of these problematic netbacks?
Greg Floerke: This is Greg again. The producers ultimately, as I mentioned before, determined whether we recover or reject ethane. And obviously, the residue gas prices in a region versus the ethane price has an impact on that. But the other thing that has a big impact is prior commitments that were made for ethane supply to downstream petrochemical companies and companies like Shell. So based on commitments that were made five, six, seven years ago or more, when the plant was in the FID phase. There's an expectation that we'll continue to recover ethane supply, for example, a Monaca plant. And that's true of other downstream crackers to the markets that our C2 pipeline delivers to, whether it's Gulf Coast, Canada or to Europe through the Marcus Hook connection. So we would expect with our over 300,000 barrels a day now with Smithburg de-ethanizer online in the region. We have – our utilization will clearly climb with ramp-up of Smithburg with the Monaca plant. But we still have capacity. We don't see an issue in the near-term there.
Theresa Chen: That's very helpful. Thank you.
Operator: Thank you. [Operator Instructions] Our next question will come from Keith Stanley with Wolfe Research. Your line is open.
Keith Stanley: Hi. Thank you. I wanted to follow-up first. You cited the Series B preferred's that go to variable rate in February and also just being below the leverage target. Is one of the options you would consider to actually just issue debt to repay those preferreds and take that up a little bit since you're below the target, or if you take out the preps, would it more likely come from excess cash flows?
John Quaid: Yeah. Hey, Keith, it's John. Thanks for the question. Certainly, when you think about those preferreds, and I may not have mentioned it, they've got a face of $600 million, right? So, not a big turn on leverage, we've got some capacity thinking about where those notes might be relative to that floating rate of 8.5%. It certainly would be a strong possibility for us to look to just move that over in a different part of the capital structure.
Keith Stanley: Great. Second question, just I think last quarter, you talked about some cost inflation into 2023, and it felt like the companies definitely had a more optimistic tone on growth the past couple of quarters. So wondering, if you can give any directional sense of how you're thinking about CapEx into next year versus 2022? And any – any potential major projects you'd highlight aside from Whistler expansion and the processing plants that you're building? Thank you.
Shawn Lyon: Hey, Keith, it's Shawn. I'll take that one again. I mean, again, I think we've tried to talk about the projects we've had and that we've announced and some of those will roll into next year. I think we'll be ready to talk to you about our 2023 capital on next quarter's call. But I think we've highlighted the areas we're focused on with the gas plants Greg talked about in the Marcellus and the Permian. Again, what's interesting too, we've got opportunities around some of those Permian takeaway lines. But as you might recall us mentioning before, a lot of those will largely be financed at the JV level. So that's not going to draw too much capital against the budget as those move forward. So – but we've got a favorable price deck that supports some of our producer activities, and we'll be back to you next quarter with what 2023 looks like.
Mike Hennigan: Hey, Keith, it's Mike. Just to add. We have a little bit of I'll call it, all of the above approach on capital, as well as capital allocation. On the capital side, you heard that on the gas business, we're investing up in the Northeast. We're investing down in the Permian. In the L&S business, we're investing in some long-haul pipes and some other activities to support the refining business as we have today. So it's not as sexy, not to have a really big project. But personally, I like these smaller organic projects that have typically better returns than major large projects. So we're pretty happy with the capital program we have. It continues to chug along and generate earnings. And that's why I think at the end of the day, and you mentioned it earlier, thanks for noticing that, we continue to grow the earnings and the cash flows. And that's what puts us in a position to have that debate about what's the best way to return capital. But it all starts with growing earnings and growing cash flows within the partnership and that's where our main focus is, and then we can optimize after that.
Keith Stanley: Thank you.
Mike Hennigan: You're welcome.
Operator: Thank you. Our last question will come from Neal Dingmann with Truist Securities. Your line is open.
Neal Dingmann: Good morning, all. Thanks for getting me in. Just one question. So, I just -- you've done a great job, obviously, cash flow sort of speaks for itself. I’m just wondering, given that strong cash flow, could you maybe -- you've talked around capital allocation a bit, but I'm just wondering a little bit more on how comfortable you all are allocating when it comes to cash flow, more towards growth versus shareholder returns? How you're thinking about that on a go forward?
John Quaid: Hey, Neal, it's John. I'll start and then I'm sure Mike will chime in as well. Again, part of it, and maybe this is one of the things we've been doing, but maybe folks have noticed this quarter, we are still focused on growing the partnership and its earnings and cash flows, right? We've got a capital outlook this year of about, in total, across growth in maintenance and some other items, about $900 million. And we remain on track for that total spend. So we want to make sure we're growing the business. But we're also in a position where we've got the financial flexibility to do that and look at return of capital as well across a number of different tools, right, whether it's the permanent, whether it's repurchases. Again, we still have as an option, a supplemental distribution if and when that might make sense. And we just continue to try and optimize about that. But we're certainly not losing sight of our focus on growing the earnings and cash flows of the partnership.
Mike Hennigan: Yes, Neal, I'll just add to what John said. It's clearly the higher priority in our capital allocation. But at the same time, as Dave mentioned a couple of times, we're trying to have strict capital discipline, make sure that we're getting good returns, investing that capital wisely. And when we have those opportunities, we're advancing the ball. We certainly want to grow the earnings and cash flows over time. But we also like the position that we have such that, if we maintain good discipline have a good, robust program. John mentioned, we're spending a little under $1 billion in capital. That's a good base to add on to some of the current assets that we have. And then, if there's excess cash beyond that, we still test it against additional capital, to your point, where we say we'll return it to unitholders. So in our mind, it's still a win-win. If we think there's a good investment opportunity, we'll go that way. And hopefully, investors have confidence that we're delivering good returns. And if not, we'll return capital and we'll debate whether it's via the distribution or buybacks.
Kristina Kazarian: Sheila, was that it?
End of Q&A:
Operator: Thank you. Yes. We are showing no further questions.
Kristina Kazarian: Sounds great. Well, thank you for joining us today and thank you for your interest in MPLX. Should you have additional questions or would you like clarification on any of the topics discussed this morning, members of our team will be available to take your call. Thank you, everybody.
Operator: Thank you. That does conclude today's conference. Thank you for participating. You may disconnect at this time.